Operator: Good morning, and welcome to the Emerald Holdings, Inc. Fourth Quarter and Full-Year 2024 Earnings Conference Call. Before we begin, let me remind everyone that this call will include certain statements that constitute forward-looking statements within the meaning of Private Securities Litigation Reform Act of 1995. This includes remarks about future expectations, beliefs, estimates, plans, and prospects. In particular, the company's statements about projected results for 2025 are forward-looking statements. Such statements are subject to a variety of risks, uncertainties, and other factors that could cause actual results to differ materially from those indicated or implied by such statements. For a discussion of these risks, uncertainties, and other factors, please refer to the company's SEC filings, including its most recently filed periodic reports on Form 10-K and Form 10-Q. As well as the company's earnings release, all of which can be found on the company's Investor Relations website. The company does not undertake any duty to update such forward-looking statements. Additionally, during today's call, management will discuss non-GAAP measures, which it believes can be useful in evaluating the company's performance. Presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with US GAAP. The reconciliation of these non-GAAP measures to their most comparable GAAP measures can be found in the company's earnings release, which is available on the company's Investor Relations website. I would now like to turn the call over to Mr. Herve Sedky, President and Chief Executive Officer. Please go ahead.
Herve Sedky: Thank you, Calvin, and good morning, everyone, and thank you for joining us today. I'll begin today by discussing our performance and strategic initiatives, and then David Doft, our CFO, will provide a more detailed review of our financials. 2024 and the early weeks of 2025 marked a pivotal time for Emerald. We've laid the groundwork for future successes through deliberate strategic initiatives. Importantly, and as noted in our prior call, we launched an aggressive portfolio optimization effort in 2024, this involves pruning several unprofitable events and establishing a nimbler portfolio of primes for growth. At the same time, I'm very pleased to announce two exciting acquisitions today, which further our efforts to drive scale and strengthen growth and margin over the long-term. Today, our portfolio is made up of events in increasingly high growth sectors covering seven industry verticals, including enhanced exposure to design, luxury, and technology-oriented events. We feel confident about our portfolio of strength is supported by an improved business mix from portfolio optimization and earlier strategic realignment in our content and commerce businesses. As many of you know, historically, Emerald functioned as a decentralized federation of brands rather than a unified platform. Today, we operate with scalable infrastructure that enables organic growth, improved customer efficiency, and stronger financial performance. As we accelerate organic growth, we expect significant pull-through to the bottom line and to improve customer experience while also delivering real customer value. As we move into 2025, we believe Emerald is primed for improved growth and margin enhancements supplemented by a very healthy M&A pipeline. As we shared in our press release this morning, we're thrilled to announce two strategic acquisitions that we believe will immediately enhance the value of the business. First, we signed a definitive agreement to acquire This is Beyond, a London-based luxury travel events business. This is Beyond provides luxury travel vendors and operators with the opportunity to meet vetted decision-making buyers and supplies travel leaders at form to build relationships, create new business ideas and generate revenue. Exhibitors are typically high-end travel or hotel brands with a design or lifestyle focus, while buyers are travel designers, global tool operators, or in-house travel managers. This is Beyond's highly experiential events emphasized thought leadership and networking as a key component. This acquisition aligns seamlessly with our strategy to expand in high growth, high margin sectors. In addition to strengthening our event portfolio, it also presents significant organic growth opportunities across This is Beyond's portfolio, including several ship events still in their early growth phases. Moreover, the company's proven entrepreneurial track record positions Emerald to innovate and launch new concepts, which is consistent with our Xcelerator strategy. This is Beyond also provides us with a leading niche in the global travel business. According to, a luxury travel demand searched in 2023 and continued to grow as affluent individuals prioritize travel as their top activity. Exceptional service, 78%, and exclusivity at 67% are the top factors in luxury travel, highlighting the importance of personalized attention and intimate settings. More importantly, 85% of luxury travelers consider travel advisors crucial for securing personalized luxury experiences. As a form for the leading luxury travel brands to network and connect on the latest luxury travel trends, This is Beyond offers attendees a better understanding of how to cater to and attract high-end luxury travelers. This is Beyond currently produces seven events globally, including three in the United States. Its two largest events are Pure Life Experiences, which is focused on high-end experiential travel sector, LA Miami, which focuses on the high-end contemporary travel sector and caters to a creative and end consumer base. Other notable events include We Are Africa, which supports high-end travel to Africa, Further East, an event held in Bali for the high-end APAC travel region and specialists in entertainment travel, which addresses the entertainment travel sector for curing music and other entertainment acts, among others. We're thrilled to add This is Beyond to the MO portfolio. This transaction is currently undergoing antitrust review in Morocco, where one event pure takes place, and we expect to close the transaction during the second quarter pending regulatory approval. On a personal note, I've spent much of my career as a travel industry with the American Express Company. What I know to be true about this acquisition is that the luxury travel market is the most attractive sub-sector of travel with long-term and resilient growth characteristics. We look forward to the potential that This is Beyond business provides to Emerald longer-term. In addition to This is Beyond, we are also pleased to announce that we closed the acquisition of Insurtech Insights. Launched in Europe in 2018, Insights operates three large scale insurance technology conferences in New York, London, and Hong Kong. Their conferences empower insurance professionals with insights, inspiration and networking opportunities, and discovery for the latest technological innovations transforming the insurance sector. Attendees at their events include insurance brokers and agents from the top insurers and solution providers globally. In just a few short years, Insurtech Insights has already grown into one of the preeminent insurance conferences and has an exciting runway ahead of it. More importantly, it provides Emerald with a foothold in the fast, strong insurance technology industry where meaningful investments are being made by insurers in improving customer experience, automation of processes, artificial intelligence, and cloud computing, among others. We believe this is a long-term trend with a strong growth characteristic, a view reinforced by a recent study by Alliance REIT by Alliance Global that forecast steady insurance industry growth across all regions with a projected CAGR of 5% to 6% globally through 2030. In their view, growth will be supported by innovation and ongoing digital transformation, leaving Insurtech Insights under Emerald's ownership well-positioned to capitalize on emerging industry tailwinds as we would expect the technology providers to the industry to exceed that rate. Together, both transactions further strengthen and optimize our portfolio mix, diversifying our events into a broader portfolio of high growth categories. We expect the combined transactions to be accretive to our growth rate and margins and expect them to contribute approximately $40 million of revenue and approximately $15 million of adjusted EBITDA to our financials in 2025. Beyond these acquisitions, we also recently completed the refinancing of our debt on January 30th, enhancing our financial position and providing greater flexibility to execute on our strategic priorities. This transaction is a pivotal milestone in strengthening our financial flexibility and optimizing our capital structure. By enhancing our liquidity and reducing financing costs by 125 basis points, we have greater capacity to accelerate portfolio optimization initiatives, bolster free cash flow, and advance our strategic growth priorities with confidence. We thank our lenders and greatly appreciate their strong support. David will walk you through the specific terms in greater detail in a moment. As we look ahead, our strategy remains anchored in our three pillars of value creation, customer centricity, 365-day engagements, and portfolio optimization with a heavy emphasis on the portfolio optimization opportunities. We're excited to build upon our diverse portfolio of must attend events encompassing high growth industries. We are confident in the strength of our portfolio and remain open to pursuing strategic opportunities for future acquisitions and new launches. As I noted earlier, our pruning efforts in 2024 optimize the mix of our portfolio more towards high growth industries and higher margin events that better position us for sustained growth. We believe that the value proposition for Emerald's large and diverse collection of events is strong, and our customers understand and appreciate the strong ROI that in-person events offer. It's proven that in-person events are irreplaceable for business outcomes. They have consistently led to faster trust building and more effective business developments compared to virtual interactions. This value is evidenced in the broad-based year-over-year pacing growth we're seeing in the first half of 2025 giving us confidence for the year. This also takes into account the ongoing construction at Las Vegas Convention Center where -- which has had continued impact on certain Emerald Bread and which we expect the cycle passed in 2026, given construction is expected to be completed later this year. We have several exciting events in the first quarter, including MJBiz, the Kitchen and Bath events, which was held in mid-February, the sports licensing and Tailgate Show impressions, and the International Pizza Expo. Our acquisition pipeline also remains robust. We expect continued activity as we move through the year, which was the primary driver of our upsized term loan in January. Our efforts to proactively approach what we believe are attractive assets to add to the Emerald portfolio are bearing fruit not just with the acquisitions announced today but with meaningful incremental near-term opportunities that we continue to work on. In terms of our outlook for 2025, including the acquisitions announced today, we expect revenue to really a range of $450 million to $460 million and adjusted EBITDA to increase to a range of $120 million to $125 million. This implies a 200 basis points improvement in adjusted EBITDA margin to 27%. As we continue our journey, we do so with confidence in the strength of our portfolio, the resilience of our team, and the immense opportunities ahead. With a clear vision and a commitment to innovation, Emerald is poised to drive lasting growth for years to come. Now, I'll turn the call over to David to review financials.
David Doft: Thank you, Herve, and good morning, everyone. As Herve said, 2024 was a constructive year for Emerald, and we're well-positioned for 2025 and beyond. Looking at our results, revenue for the fourth quarter was $106.8 million compared to $101.5 million in the prior year quarter. This was driven primarily by growth of $6.1 million in organic revenue or 6.5%, which takes into account the impact of acquisitions, scheduling adjustments, and discontinued events. The top line was also aided by $4.8 million in revenue from acquisitions. Growth in the quarter was partially offset by scheduling adjustments of $3.7 million, where events staged in the fourth quarter of last year but in the third quarter of this year and prior year discontinued event revenue of $1.9 million pruned as part of our portfolio optimization efforts. Revenue for the full-year totaled $398.8 million, an increase of 4.2% versus the prior year. The increase was driven by organic revenue growth of $21.3 million or 5.9%, as well as $13.5 million in revenue from acquisitions. This was offset by prior year discontinued revenue of $18.2 million related to portfolio optimization efforts and $0.6 million in forfeited revenue due to the cancellation of one of our hosted buyer events in October as a result of Hurricane Milton. We successfully recovered proceeds of $0.5 million from our event cancellation insurance policy, reflecting the bottom line impact of the cancellation. This is reflected in the other income line of our P&L, consistent with past practice. I'd like to highlight the impact of Event Stage in 2024, but has been discontinued going forward. These events dragged organic growth by approximately 1%, meaning that the remaining ongoing portfolio of Emerald's businesses actually grew 1% faster last year. Fourth quarter adjusted EBITDA, excluding insurance proceeds, was $32.6 million compared to $35.8 million in the prior year quarter, including the $0.5 million of insurance proceeds noted above for the event canceled within the period due to the hurricane, adjusted EBITDA was $33.1 million. Adjusted EBITDA, excluding event cancellation insurance for the full-year 2024, was $100.2 million compared to $95 million in the prior year. The increase was due to continued cost management as well as portfolio optimization efforts that resulted in a discontinuation in 2024 of several small non-core and unprofitable events. In addition to the insurance recovery for the fourth quarter hurricane related cancellation, earlier in the year, we recovered $1 million for a cancellation from the previous year. Including these proceeds, adjusted EBITDA was $101.7 million. Turning to expenses. Fourth quarter SG&A was $34.6 million versus $36.1 million in the prior year period, driven by continued management of overhead costs, decreased costs related to discontinued events, and lower stock-based compensation expense. This was partially offset by the impact of acquisitions and integration costs. For the full-year, SG&A was $170.4 million versus $168.3 million in 2023, driven by similar reasons as the fourth quarter. In the fourth quarter, we generated $17.9 million of free cash flow, excluding event cancellation insurance proceeds, as compared to $13.5 million in the prior year period. For the full year, free cash flow was $35.5 million as compared to $26 million in the prior year. Including insurance recoveries, free cash flow for 2024 was $37 million. Following on Herve's comments on the This is Beyond and Insurtech Insights acquisitions, I'd like to provide a bit more detail. Both companies are based in the UK, even though they operate events in several markets, including the United States. Combined, we are paying GBP124 million for the businesses. This equates to approximately $160 million at recent exchange rates. The Insights acquisition has already closed. However, as Herve mentioned, the This is Beyond acquisition is pending regulatory approval in Morocco. We're beyond stages it's pure life experiences event. We do not anticipate any issues garnering approval given that Emerald has no pre-existing presence in Morocco nor in the travel sector. Our expectation is that the deal will close in the second quarter and prior to Beyond's LE Miami event in May. As already noted, we expect the combined businesses to contribute revenue of approximately $40 million and adjusted EBITDA of approximately $15 million in 2025. We also expect these acquisitions to be accretive to Emerald's overall growth and margins as we believe there is substantial incremental growth opportunity long-term in both businesses. I also want to highlight the impact this has on the portfolio mix of Emerald's events. As we have long discussed, we run a portfolio of brands exposed to different vertical end markets. It is highly beneficial for an event to operate in a healthy and growing sector. Our goal with our portfolio optimization strategy is to continuously look to improve the mix of events in our portfolio and increase our mix towards healthy and growing industries. With these deals, we have taken a big step forward. For example, our exposure to the luxury category now across high-end jewelry and travel, among other subsectors, has increased over 13% of revenue on a pro forma basis from less than 8% before. While our exposure to the technology sector has increased to 15% on a pro forma basis from 13% before. At the same time, our exposure to gift and home events has declined meaningfully to only 12% of revenue on a pro forma basis, whereas over the last few years, it was as high as 24% of revenue. Overall, we are pleased with the continued improvement in the long-term positioning of our portfolio and remain focused on incrementally strengthening it going forward. Shifting to the balance sheet. We had a healthy cash balance of $194.8 million as of December 31, 2024, versus $188.9 million as of September 30th. As of December 31, we had net debt of $214.3 million, leading to a net leverage ratio as defined in our credit agreement of 1.9 times our trailing 12-month consolidated EBITDA based on the definition our credit agreement of $115.8 million. Pro forma leverage, including the impact of our refinancing, assuming the full-year benefit of the acquired companies and subtracting the acquisition cost from cash, the net leverage ratio increases to just under 3.0 times. As Herve mentioned, on January 30th, we successfully executed a strategic refinancing of our first lien term loan and extended our revolving credit facility, enhancing our capital structure and improving financial flexibility. We replaced our existing $409 million first lien term loan with a new upsized seven-year $515 million senior secured term loan facility maturing on January 30, 2032. Additionally, we extended the maturity of our $110 million senior secured revolving credit facility by five years to January 30, 2030. Notably, we achieved a significant reduction in pricing with spreads tightening to SOFR plus 375 basis points from the previous SOFR plus 500 basis points, reflecting improved credit market positioning. Pro forma for the refinancing, our cash at year end would have been approximately $287 million, net of leakage of fees related to the capital raise. This is prior to funding the acquisitions we have discussed today. We believe our balance sheet strength and cash flow generation support our ability to opportunistically invest in and grow the business as well as optimize the per-share value of our stock. In 2025, we expect to continue to balance capital allocation between acquisitions, investments in our own business, managing debt leverage, and opportunistic share buybacks. During the fourth quarter, we bought back roughly 1.8 million shares for $8.4 million at an average price of $4.68 per share under our existing and prior buyback authorizations. The current authorization had $17.4 million of capacity remaining at year end. Since the beginning of the program in 2021, we have repurchased a total of 13.3 million shares of common stock for $53.7 million, demonstrating our unwavering commitment to delivering value and returning capital to shareholders. Additionally, on February 26th, Emerald's Board of Directors declared a regular quarterly dividend of $.15 per share for the quarter ending March 31, 2024, which would imply an annualized cash dividend amount of $12 million and reflecting a dividend yield of 1.6% based on yesterday's closing price. Turning to our outlook. We are initiating full-year guidance for 2025 in the range of $450 million to $460 million in revenue and $120 million to $125 million in adjusted EBITDA. Overall, this implies at least mid-single-digit organic growth rate. Within our guidance, we have built in some impact to our outlook from tariffs imposed and threatened by the US government. Though note that our international exposure is relatively small. Today, our international exposure is approximately 10% of our revenue, exhibitors coming from China generate roughly 2% of revenue. Canada the same, and Mexico less than 1% across companies that sell products or services. Sitting here 10 weeks into the year, events that have already taken place represented 36% of our expected annual international revenue. So, any potential risk is already meaningfully reduced. Our overall guidance reflects our current expectations based on what we are seeing in real-time and what we have already sold this year. We plan to continue to monitor the situation closely as we move through the remainder of 2025. We have also built into our expectations some drag from the ongoing construction at the Las Vegas Convention Center as well as note the impact of our portfolio pruning, which eliminated $5 million of revenue from events that staged in 2024 but will not stage in 2025. And now we'll open up the call for questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment please for your first question. Your first question comes from the line of Allen Klee of Maxim Group. Please go ahead.
Allen Klee: Good morning. You said that the two -- the questions related to the acquisitions where you said the initial payment is going to be combined $160 million. Just starting with that, I'll -- can you explain how that's being paid and funded interest in cash or stock or debt? And then for the -- besides the initial payment, the payments thereafter, if there's an earn out or something, anything you can touch on that? Thank you.
David Doft: Sure. Thank you, Allen, and good morning. So, the acquisitions are both being funded with cash on hand. And there are deferred components based on performance through -- for both deals through 2027. So we would expect incremental payments through 2028 for that.
Allen Klee: Through 2028. Okay, great. And then you said that they should add $40 million to $15 million of revenue and adjusted EBITDA, but they're not getting put on from day one. Can you get a sense two things related to that of how much annualized revenue if you bought them on January 1 and EBITDA they would represent? And then is there a way to because they're going to be closing like a quarter apart to think about the impact on the following quarter, I guess it's Q2 and Q3 the quarters related to that, Q2 and Q3 or maybe sorry, but the bigger question is related to that you could answer is just how should we think about seasonality through the through the four quarters, factoring these two things in? Thank you.
David Doft: Sure. So we are -- we do expect to own both businesses before they stage any events in the year. And so the revenue impact is the annualized impact. And the only caveat there is the timing of the regulatory approval in Morocco. If that goes longer than we expect, it's possible that we might not close before one of the events, but from what we're told and our understanding from Council is it shouldn't be a problem. And as you know, with events and any costs related to an event are deferred to the event. And so the vast majority of the costs we're capturing this year, there is some overhead that is not being captured this year, but transparently, we built in the full-year impact of those costs in our plan as a kind of a broader overall hedge on our portfolio for the year. So the numbers we gave is what we expect the annualized impact to be. From a seasonality standpoint, these deals only moderately shift the overall seasonality of the company. They don't have any events in 1Q, so it does take down the mix of the year for the first quarter by a couple of points percentage wise of the year. So if you look at last year, and 33% of our revenue came in the first quarter. This year, it should be moderately lower than that in 1Q. And so with that, 2Q then goes up a little bit by a point or so. 3Q fairly consistent and 4Q fairly consistent. So there's just a moderate shift between 1Q and 2Q on the weighting of the year. When all is said and done, it doesn't meaningfully change the overall dynamic.
Allen Klee: Okay. And then just following up on that, and then I'll get back in the queue for questions. The -- when you said the seasonality, does that also factor in the events that you that you're -- that you've shut down of where they're going to play out in the quarters?
David Doft: Correct. As the seasonality I spoke of is the -- call it the new Emerald in its entirety.
Allen Klee: Got it. Okay, great. I'll get back in queue. Thank you so much.
Herve Sedky: Thank you, Allen.
David Doft: Thanks, Allen.
Operator: Your next question comes from the line of Barton Crockett of Rosenblatt Securities. Please go ahead.
Barton Crockett: Okay, great. Thanks for taking the question. And I guess I -- one was just a little bit more kind of understanding of the acquisition math. And I guess one of the things I was wondering is the EBITDA you're talking about, is that after synergies or before synergies or synergies kind of a meaningful part of the story? That's one. And then you touched on it before, but the performance deferrals, it sounds like that's incremental to the $160 million. Maybe you don't want to be very specific, but can you give us some bigger than a bed basket a sense of how large the deferrals might be to factor into the whole acquisition price?
Herve Sedky: Sure. Thank you, Barton, and good morning. The numbers we gave you are pre-synergies. And admittedly, because these businesses are run overseas, we don't expect synergies in 2025. Any potential synergies are likely to take a little bit longer to achieve and will likely be in 2026 and going forward. So we definitely have upside there. One of the opportunities here is, as, we have slowly in the last couple of years expanded overseas on a smaller scale, we have the advertising week business in the UK with some staff there. We have the Global Risk and Compliance GRC business, which was a smaller business we acquired last year, also based in the UK, and now with these two deals, a much more scaled of presence there. And so there is an opportunity for us to consolidate and operations over in the UK and create opportunity as well as both of these businesses have events in the US, and we always have opportunities more easily attainable in the US, but would expect it not to be in the first iteration of those shows. Typically, we like to experience show first, ourselves, well, before we really move to apply more best practices unless something meaningfully stands out, obviously upfront. So we're not building in synergies this year. We would expect 2026 those opportunities.
David Doft: Yes. From a deferred payment standpoint, so our standard model which I think everyone should be familiar with at this point, is a down payment plus earn out based on performance. Earn outs are only earned if the business grows. And so -- and the way our formula has worked is that the more -- obviously, the business grows, the more we'll pay, but the lower the multiple gets. And so any deferred payment, ultimately it's because the business has grown and brings down our all-in multiple based on the current run rate of EBITDA at that time. So it's hard to forecast exactly what it will be because it's contingent on the performance. It's not an earn out where if they just hit X number, they get Y amount of dollars. It's a more complex grid of growth rates and multiples that will determine the ultimate payment. So we're still doing the accounting work of what the initial estimate will be on the balance sheet, which we'll report on the first quarter earnings. But ultimately, we do expect these to be growth businesses. We do -- I expect that we will pay more for them. And with that, we do believe strongly that the more we pay, the better position we're all going to be in because it will vastly improve overall performance for Emerald.
Barton Crockett: Okay. Thank you for that. And on -- when we think about the free cash flow conversion, I mean with your refinancing on this deal, how should we think about free cash flow conversion this year relative to what you've done for the last couple of years of EBITDA?
David Doft: So we -- yes, with the EBITDA guidance we've given, we're looking at free cash flow of $50 million plus as the flow through off of that. So we are looking for a nice step forward and flow through of that EBITDA to free cash flow. And so we're beginning to get some good leverage as we would hope and expect from that going forward. Obviously, we did add $106 million to the debt, but at lower rates. So net-net, we're not in too different a position on an interest expense standpoint, but then we were in 2024, but with meaningful higher EBITDA. And as we hope we continue to grow, which is our expectation and plan, we should continue to have leverage on that because we have cash on hand to fund incremental deals, we have organic growth. We have the free cash flow expected from that organic growth to hopefully reinvest in the business and drive even more EBITDA. And so we're -- with the stabling out of interest rates, hopefully, we're in a more virtuous cycle of free cash flow generation.
Barton Crockett: And then, if I can put a question maybe to Herve. I think you were saying this was your -- this would be your first travel exposure with this deal. I just want to make sure I heard that correctly. And then, just given your background, which you spoke about, I mean, how much more opportunity do you see for not just growth of this particular trade show, but perhaps more watches or acquisitions? How much more meaningful could travel become for you guys?
Herve Sedky: I'd answer that in two ways. One is, yes, it is our first travel acquisition and -- but I really see this acquisition just as much as being in the luxury sector than it is in the travel sector. So I would really make that distinction. It's really in luxury and it's also in travel. The -- one of the most exciting opportunities, in addition to its being an outstanding growing business, is really, as I mentioned in my prepared remarks, the entrepreneurial spirit of the founder and the team that have really been extraordinarily successful through launches. So they started with one event and then expanded from there. And in the discussions that we've had with them over the last few months, there are some very interesting and unique launch concepts that we will be exploring together. And so we will -- I expect that, as I mentioned, that this will be a good contributor to our Xcelerator strategy and that we will be launching alongside the This is Beyond team. In terms of other travel acquisitions, we -- as I mentioned, we have a rich pipeline. We don't go through the detail of our pipeline clearly and the sectors that they're in, but we do have a rich pipeline and we're not necessarily focused on the travel sector as a sector itself, but if there are some growing assets, long-term growth assets in the travel sector and there are a couple out there, then of course, those would be interesting to us.
Barton Crockett: Yes, that's great. That's it from me. Thank you guys very much.
Herve Sedky: Thank you, Barton.
David Doft: Thanks, Barton.
Operator: Your next question comes from the line of Allen Klee of Maxim Group. Please go ahead.
Allen Klee: Well, thanks again. I just wanted to see if you could expand on two comments you made during the call, which I think impacts your outlook. One was your confidence, given the first half pacing growth. And then second, you said you're excited about the Las Vegas construction expansion. The convention expansion, sorry. Thank you.
Herve Sedky: Yes, I'll start, and maybe David will want to add. Our guidance definitely reflects, I think, as David mentioned, what we're currently seeing in real-time in our business and also what we've already sold and given the nature and the cycles of our business. And that's why we're demonstrating confidence in the numbers and the projections that we've shared. On the Las Vegas Convention Center, it's less about excitement of the convention center, what I was mentioning is the fact that the construction is going to end at some point at the end of this year in 2025 and therefore, we expect that there will be less or no construction impact to our business in 2026 and beyond. That's the comment that I was making around the Las Vegas convention center.
David Doft: Yes, just on to add to that. So the first half of the year is pacing consistent with our full-year outlook. There's the second half, there's some timing of when shows stage and when things launch that is a bit of a mismatch. And so in the next two, three weeks, it will all line up time wise. But again, we expect consistent with our full-year outlook kind of adjusted for all of that. And so we are -- we do have real-time data kind of reinforcing where we see the year and what we guided. In terms of the convention center, I just want to add one thing. So I was checked there two days ago. Our ASD event is running is one of the -- we run twice a year. It's one of the key events for us that are probably the most significant events being impacted by the construction, which I know we talked about last year a little bit. One of the halls is completed at the North Hall at the contention center. It is a meaningful upgrade. So, to your question, in the long-term, we do think this will be very good for customer experience. I'm wondering people have a good experience that helps our retention rates ultimately is good for us longer-term. So I do believe it will be, and if you've been to the convention center in looking at what they're -- and they're working on the Central hall right now. It's shut down, it's a bit of a mess. There's blockages and walls, and it's not continuous. And so our show is split between both ends of the hall, that's what makes the experience difficult during construction. But they're building a massive new entryway, foyer, all glass. I mean, it's going to be really, really nice. And so I do think there are definitely benefits. But we need it to be done. And right now, they're saying they'll be done by the end of this year. So that's a really good thing for 2026. Hopefully, it's not delayed. So far, they've been on schedule the entire time, which is great. But surely in the short-term, it causes a little bit of issues. And in the long run, those issues won't be there and hopefully it's a nice improvement.
Allen Klee: Thanks. That's very helpful. And then my last question is, when you talked about your key strategies, one is optimization, and you did that last year on eliminating some underperforming trade shows. When you look at the fourth quarter of 2024, and can you just give some comment on -- because we just see the full numbers, but do you think that there's also some other trade shows that maybe have been underperforming that you may have to watch a little bit for 2025?
Herve Sedky: The way I'll answer that, Allen, is absolutely, we always -- and I commit that we will always look at our portfolio and the performance of every piece of our portfolio. And so this is not a one and done effort. This is a continuous effort on our part to make sure that we have the most robust growing portfolio. So we're constantly assessing this various elements of the portfolio, how the brands are performing. And I'm not going to get into any detail around projecting the future. But if, in fact, there are underperforming elements of the portfolio that are not contributing value to our shareholders and to our company, then you can expect that we will continue to take the same actions that we took in 2024.
Allen Klee: Okay. That's great. Just personally, I actually cover a couple of insurance tech companies, so I'm excited to see that acquisition. Okay, got it. Thank you, guys.
Herve Sedky: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. With that, I will turn the call back over to Herve Sedky for final closing remarks.
Herve Sedky: Well, thank you very much, everyone, for joining our call today. Today's announcements regarding the acquisitions of This is Beyond and Insurtech Insights really further demonstrate our commitment to optimizing the composition of our portfolio, as I mentioned. These developments, coupled with the ongoing efforts over the last couple of few years to enhance the business performance, to refine our go-to-market strategies and implement best practices across our organization. I believe it really position us strongly for sustained growth. And I want to close by really thanking all of our incredible employees at Emerald, whom none of this would have been possible without their hard work, efforts and commitment. And thank you all for joining the call today.
Operator: Ladies and gentlemen, that concludes your conference call. We thank you for participating and ask that you please disconnect your lines.